Operator: Good day, ladies and gentlemen, and welcome to the Quarter 1 2014 Mistras Group, Inc. Earnings Conference Call. My name is Sally, and I will be your operator for today. [Operator Instructions] As a reminder, this call is being recorded for replay purposes. I would now like to turn the call over to Mr. Sotirios Vahaviolos, Chairman and CEO. Please proceed.
Sotirios J. Vahaviolos: Sally, thank you very much, and good morning. Welcome to the Mistras Group earnings conference call. This is Sotirios Vahaviolos, Founder, Chairman and Chief Executive Officer of Mistras Group. Also joining me today is Phil Orlando, the company's Interim Principal Financial and Accounting Officer. Phil has an extensive background in finance and accounting and has been with Mistras since 2008. He's uniquely qualified to lead our finance team during our CFO search. The purpose of today's call is to review our financial results for the company's first quarter of fiscal 2014 and to discuss our prospects going forward. Let me start by saying that I am pleased with Mistras' performance in our first quarter. The 20% growth in revenues and particularly the 16% organic growth in our Services division, combined with a 2.5 increase in -- 2.5% increase in gross margins, shows that the realignment of our field operations management and the sales organization were successful. We remain focused on applying these initiatives worldwide to benefit our international business, and we intend to strengthen our business model by continuing to leverage our existing extensive services and products and systems portfolio, targeting and successfully penetrating growth markets and integrating strategic acquisitions in the upcoming quarters. We believe this is a very positive start to the year and look forward to the 3 more strong quarters. I will talk more about that in a few moments, but let me turn it over to Phil to give some details on the results. Phil?
Philip Orlando: Thank you, Sotirios. First, I want to remind everyone that our discussions during this conference call will include forward-looking statements. Actual results could differ materially from those projected, and factors that could cause actual results to differ are discussed in our annual report on Form 10-K and in other reports filed with the SEC. Also, the discussions during this conference call will include certain financial measures that were not prepared in accordance with U.S. generally accepted accounting principles. Reconciliations of those non-U.S. GAAP financial measures to the most directly comparable U.S. GAAP financial measures can be found in Mistras Group, Inc.'s current report on Form 8-K dated October 8, 2013. These reports are available on our website in the Investors section and on the SEC website. Now I am pleased to present the summary of financial results for the first quarter of fiscal 2014. Revenues for the first quarter of fiscal 2014 were $135.8 million, up 20% from the $113.4 million reported in the first quarter of fiscal 2013. Revenue growth in the quarter was achieved through acquisition growth of 16% and organic growth of 5%, with the balance due to foreign exchange. During the quarter, our Services segment led the way, with 16% organic revenue growth. Gross profit in the first quarter was $39.3 million, up from $33.7 million in Q1 2013. Gross margins were 28.9% in the quarter versus 29.7% in Q1 '13. The 80-basis-point decrease was primarily attributable to decreases in our Products & Systems segment due to a lower volume and mix of sales in the quarter. Also contributing to the decrease was our International segment, which relates primarily to our fiscal 2013 acquisitions. The International business is now a larger provider of lower-margin traditional NDT services versus being dominated by Products & Systems sales, which contributed higher margins in the past. International segment gross margin was 26.8%, down 2.2% from the prior year. It's important to note that traditional NDT margins are expected to be around 27%. These decreases were offset by an increase of 2.5% in gross margin in our Services segment due to a favorable change in the mix of project work completed during the quarter. Growth in Oil & Gas refining and midstream markets, Aerospace and Industrial markets contributed to the increased gross profit. SG&A in the first quarter of fiscal 2014 rose to $28.7 million versus $23.5 million in Q1 2013, with each quarter remaining consistent, representing 21% of revenues. $3.7 million or 71% of the increase was due to acquisitions completed within the last 12 months. The remaining increase of $1.5 million was primarily related to higher compensation and benefit expenses attributed to normal salary increases, as well as our investment in additional staffing to support our growth. Operating income, excluding the impact of acquisition-related adjustments in the first quarter of fiscal 2014, was $7.5 million or 5.5% versus $7.8 million or 6.9% in the prior year. This decrease is due to performance of our International and Products & Systems segments. Our Services business continues to be a strong performer, with a 60% increase in operating income in this quarter. Operating leverage for this segment was 30% for the quarter. Net income increased by 32% to $5.6 million or $0.19 per diluted share in the first quarter of fiscal '14 versus $4.3 million or $0.15 per diluted share in the first quarter of fiscal 2013. Without the favorable acquisition-related adjustment, the adjusted net income was $4.3 million or 3.2% of sales, with a diluted earnings of $0.15, relatively flat from the year ago. Our effective tax rate for the quarter was 36% versus 38% in Q1 2013. Adjusted EBITDA increased 3% to $16 million in the quarter versus $15.5 million in Q1 2013. Our top 10 customers represented 35% of revenues during the first quarter of fiscal '14 versus 32% of the first quarter fiscal 2013. In the current quarter, Oil & Gas revenues represented approximately 48% of total revenues versus 47% in Q1 2013. Our largest dollar increase in the quarter was in the Aerospace industry, followed by Oil & Gas and Industrials. The increase in Aerospace was primarily related to our acquisition in Germany, but increases in the U.S. market were also recognized. Advanced services in the first quarter 2014 increased approximately 15% over the same quarter of fiscal 2013. And now for a few comments on the company's balance sheet and cash flows. The company spent $2.5 million in cash on capital expenditures and leased another $2.5 million of capital equipment, bringing our total capital expenditure outlay for the quarter to $5 million or 3.7% of revenues. This compares to total capital expenditure outlays of $4.3 million or 3.8% of revenues in fiscal 2013 Q1. Our net debt increased to $64.2 million at quarter end, down from $70.2 million. During the first quarter, the company reduced its borrowing under its credit facility by $6.6 million and our net-debt-to-EBITDA ratio declined to 0.9x. As of August 31, 2013, the company had cash and cash equivalents of $6.9 million and an undrawn revolver balance of approximately $87.5 million. And with that, Sotirios, I'll turn it back to you.
Sotirios J. Vahaviolos: Okay. Thank you, Phil. And now let me take the opportunity to brief you on some key developments and activities within each of our business segments. First, our Services segment. The Services segment captured a number of strategic projects in Oil & Gas, Chemical, Power Generation and even in the construction equipment vehicle market. These projects were sourced from both new and existing customers, as well as from our longstanding refinery evergreen customers. The scope of work includes advanced NDT inspection services, as well as engineering services, provided by our Asset Integrity Management Services, AIMS, organization. Our programmatic approach, which leverages all of our asset protection solutions offerings, and not just not -- not just NDT inspection, is proving to be very successful for improving Services gross profit margins. This focuses on using the right tools upfront to address the customers' issues and challenges and in return, solving the issues in a timely, cost-effective way. This approach has allowed us to penetrate energy companies at the corporate level and implement programs on a fleet-wide basis, benefiting both the customer and Mistras. Our midstream business continues to remain strong throughout North America, with the award of multiple new pipeline projects and the continuation of inspection services on existing large projects that had been previously awarded. In our Power Generation, we secured 5-year preferred supplier contract with a major contractor to provide traditional and advanced NDT services for its fossil and nuclear fleets that has the potential to yield in excess of $7 million per year in revenues. We also received a multimillion-dollar nuclear contract for a steam generator replacement project with a major electric Midwest utility company. For our Services segment, we see the fall turnaround season shaping up to be about average. Then, after that, we think the winter, early spring turnaround beginning in January would be very healthy and well above average and then, the spring turnarounds to be above average. According to a statement released last week by the research group Industrial Information Resources, IIR, maintenance spending in North America is expected to continue to increase for the next several years as refineries fulfill the terms of various consent decrees negotiated with environmental regulators, conduct inspections, detect and repair leaks and make new environmental requirements. Next, our Products & Systems segment. Although still impacted by guarded capital spending, there were some significant project awards in the recent win column. In the industrial automotive market, we were awarded an order for 5 advanced ultrasonic immersion systems for testing critical integrated safety components found in automotive vehicles worldwide. Another large ultrasonic immersion system was purchased by a major Aerospace sub-supplier for the testing of its manufactured advanced composite components to ensure quality and integrity. In Power Generation, the group received an order for a major south -- from a major Southeast-based utility for 3 of our very successful ACTMS systems to monitor for stator blade cracking on its combined-cycle gas turbines. And our Triple 5 boiler leak monitoring group received its first order from Australia that will help penetrate all the utilities in the country and the region. In Oil & Gas, the sale of our product portable leak detection systems increased due to the reinstatement of the government-issued emissions monitoring mandate, where it carries with a significant proposed activity for system requests in the Aerospace and military segment, as well as in the infrastructure for bridge monitoring, hoping that this is an early indication that funding may become available in the near future. And now let's discuss the International sector. The integration efforts of the entities we have acquired in Europe and Brazil in the past 16 months coupled with the additional focus on the organizational structural changes, have started to pay dividends. Gross profit has improved to 26.8% from 21.2% in the fourth quarter of fiscal year '13. EBITDA remained constant at 10% of revenues level, and due to acquisitions, it was 42% higher than the first quarter of fiscal '13. While 10% is below our goal for International, it is worth noting that the sales mix of services is improving in the acquisitions we have made. Our U.K. operations are now fully integrated into 1 legal entity, having 3 operational labs. As in the past, the United Kingdom continues to grow in both revenues and profitability, with an optimum mix of Services and Products & Systems. A key component to our organizational structure was the recent appointment of a group vice president for EMEA and Australasia business development. The strategy of fully integrating in Europe starts with common marketing and sales, as well as in the sharing of technicians throughout the region. Applying the successful North American services operations model to the multiple acquisitions made in France is helping to staff and execute on the new evergreens announced in our August earnings call. In addition, France and Germany are collaborating in the Aerospace industry, where they are improving overall profit margins and minimize un-billable labor. Our German operations also continued to align the destructive and nondestructive business to better address the market. With the growing aerospace industry driven by the new fleets of Airbus 350s and Boeing 787s and the extensive content of advanced composites in these crafts, using both technologies, the Mistras GMA subsidiary is well positioned for profitable growth. Our wind energy group has been increasing revenues with the collaboration of our advanced maintenance inspection, R&D and engineering teams from Germany, Holland and France, where the highest concentration of both existing and new wind turbine installations are based, as well as the wind turbine manufacturing companies and related OEMs. Our Brazil operation continuously improve and has expanded its cooperation with the United States Services organization. At the start of fiscal year, the U.S. Services division began sharing business operational processes in an effort to replicate its model of success. While the Oil & Gas industry remains important to Brazilian business, the mining and railroad metro inspection business are playing an increased role and have developed into key growth markets that are expected to continue to add attractive revenue and profit contribution to our Brazilian operations. Our subsidiaries in Russia and Japan also continue to improve with additional new business. Russia recently secured more orders for online asset condition monitoring and our PCMS inspection data management software and implementation services. We're also actively pursuing advanced NDT sales in Russia due to customers' requests that will assist in balancing out the ups and downs that are typical in capital equipment sales. In Japan, we were encouraged by the recent new government funding for materials R&D and infrastructure projects. In the first quarter, we received orders for materials research and online bridge-health monitoring systems. With this positive activity, we're optimistic that the international sector is on the road to improvement for fiscal year 2014. And now, for the outlook and guidance. The company is confirming its previously issued guidance for fiscal 2014 revenues to be in the range of $570 million to $600 million and adjusted EBITDA to be in the range of $74 million to $80 million. The company does not provide quarterly guidance but expects to update its annual guidance at least quarterly. In closing, we're encouraged by the level of new activity, both domestically and internationally, and our ability to attract and capture significant projects in multiple industries. We're very pleased with the positive results steaming -- stemming from the reengineering of our field operational management and the sales organization structural changes that we have implemented last year on a worldwide basis. In addition, the recent evergreen wins have set the foundation of our run-and-maintain work in Europe. As for acquisitions, we continue to pursue a number of strategic North American opportunities both for the short and the long run. Going forward, I remain very positive on the future of Mistras and our ability to execute and deliver our value-based asset protection solutions worldwide. That concludes my remarks, and I would like to open up the floor for questions, Sally.
Operator: [Operator Instructions] Your first question which comes from the line of Andrew Obin.
Andrew Obin - BofA Merrill Lynch, Research Division: I apologize, I was a little bit late coming on the call, but can you just touch on the mix of the service business going forward? I think I heard you stated about mix getting better. Can we just go into a little bit more detail on that?
Sotirios J. Vahaviolos: On the service sector, basically, we continue to have a better mix. As we said, we had 15% more than we had last year. Now the fact is this 15% of total revenues, you have to take into account that our business increased, so, therefore, the advanced NDT increased. The only thing that is very important is that people are using more our software and they're using our mechanical integrity services. And our Asset Integrity Management Services were not related -- were really not NDT inspection.
Andrew Obin - BofA Merrill Lynch, Research Division: Right. But I guess I just want to understand if you made a comment about margin -- about the mix within Services business or you just talked about service mix benefiting the overall mix. That's what I just wanted to understand.
Philip Orlando: Well, I think the mix changed -- when you look at the drivers here, we had significant increases, not only in the Oil & Gas marketplace, but in marketplaces like aerospace and defense and Industrials are -- actually impacted the gross profit for this quarter.
Sotirios J. Vahaviolos: Also, Andrew, if you wouldn't mind, also that the -- in the Services, our gross profit margin increased by 2.5%. And if you now compare the fourth quarter -- compare the last 2 quarters, let's say, of fiscal '12, '13 versus this quarter in the International sector, you will see an improvement, as I've mentioned. You're going to see something from 20 -- 21.5% to about 26%.
Andrew Obin - BofA Merrill Lynch, Research Division: And just a follow-up question. In terms of turnaround refinery work in the U.S., you talked about how the work has been postponed and how the mix has changed. Can you just give us a more detailed update of what you guys are seeing for the next 6 to 12 months in terms of industry trends, the average contract size and the willingness of the refiners to actually do the turnaround?
Sotirios J. Vahaviolos: Okay. We see -- basically, the second quarter, which is really, for us, our fall quarter, we don't see really -- as I mentioned in my speech, we see that basically to be just about average. We don't see it really as big as, probably, others forecast. But we see, though, the early spring, starting from January, okay, it's January, February, we see the early spring and all the way to May, we see very, very aggressive. It would be basically a lot bigger than we have seen in the last couple of years.
Operator: The next question comes from the line of Matt Duncan from Stephens Inc.
Matt Duncan - Stephens Inc., Research Division: Sotirios, the first question I've got is just want to make sure I understand your commentary around the expectations sort of for the flow of the year. And I know you don't give quarterly guidance, but if I'm understanding you correctly, should we be expecting the organic growth to pick up in the back half of your fiscal year versus your first half, driven by those bigger turnaround projects in the spring and a busier calendar?
Sotirios J. Vahaviolos: Yes. Basically, Matt, as we have discussed it, recently, actually, we see organic growth in the 7% to 12% range, okay, for the foreseeable future.
Matt Duncan - Stephens Inc., Research Division: Okay. Looking at the availability of labor, are you guys starting to see labor tighten up at all, tighten up any? Are you seeing any kind of wage rate inflation for your technicians? And if so, are you able to pass those pricing -- pass that through as price increases to your customers?
Sotirios J. Vahaviolos: Let me just give you a little bit different approach, actually, which is really what we say here at Mistras. The biggest factor, for us, for higher wages, in our opinion, is the aggressive recruiting by -- for our geographies, which is really a shortage now because of the pipelines and of course, advanced NDT. And personnel by compared to -- they really have unrealistic knowledge of the market. Emphasis is on training for us and career building, okay? That's the best antidote for ourselves, for our employee, the reasonable pay. We're trying to really give our employees a very good benefit package, as well as paying them reasonably. But more than anything else, we're trying to provide our employees with, basically, career. Now what I wanted to say, is there any more -- will there be any -- basically, a more aggressive recruiting in the beginning of the year? We agree with that. I think there will be some shortages, but not as much as people really forecast.
Matt Duncan - Stephens Inc., Research Division: Okay. And then looking at your gross margin percent, I think on the last call, you guys had said you expected that to be kind of 28.6% to 28.8% for your fiscal year. It was 28.9% this quarter, so you're already kind of trending above the expectation. Obviously, the February quarter tends to be a soft gross margin quarter. But given where your started the year, should we be thinking that your gross margin may come in above that range? Or how are you guys thinking about gross margin now for the year?
Philip Orlando: I think that range is still there, Matt. As we said before, when you get into those large quarters, you're using a lot of overtime labor and the markups are not there as much on those rates. So you're not going to see a big push in the margins.
Matt Duncan - Stephens Inc., Research Division: Okay. And then last thing for me, just 2 housekeeping items. The tax rate was a little lower. I think you guys have been expecting 38%. It was 36% in the quarter. What should we be modeling there? And then secondly, Phil, what level of depreciation and amortization expense do you expect for the full year? It was down a decent bit sequentially, so I'm trying to make sure I understand where we ought to be modeling that expense for the year.
Philip Orlando: On the tax rate, I would still model at 38%. It's kind of early to tell on that. I don't have the depreciation number in front of me. I'll get back to you on it, all right?
Sotirios J. Vahaviolos: Well, the only thing I feel I would like to add here is that as our International business increase and the profitability increases, it should be obvious that the tax rate will go down.
Operator: The next question comes from the line of Andrew Wittmann from Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I just wanted -- I wanted to just dig into the North American service business a little bit. Obviously, the growth rate is notable here. Can you just talk, maybe Sotirios, about some of the things that might have impacted the growth rate last year? It sounds like maybe there were some refineries that maybe didn't as much work that are back this year. Can you just talk about kind of the texture of what happened there and what you're expectation is for that segment?
Sotirios J. Vahaviolos: Sure, sure. Sure, Andrew. Thank you. Basically, if you look at the 5 refineries that were sold last year, in the last year -- or really, the refineries that we were doing work and had our evergreens, the sellers and the buyers, of course, in such situations, they don't really overspend. So we were really affected more than anybody else in the industry, I bet more than anybody else in the industry on that area. So that's really existing customers with big contracts that were not really spending the money that they typically used to spend before.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So are you saying that -- so those refineries have changed ownership. Are you saying that the new owners have reengaged Mistras on those again?
Sotirios J. Vahaviolos: 100%, 100% they have reengaged. They have reengaged not only -- basically, what we have done, because some of the new owners did not really use us a lot before, now they see Mistras and all the extensive tools that we have in the industry and they are using it. And we hope that they will not only use us on the refineries they acquire, but also on the refineries that they had and we never serviced before.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Are those discussions with potential new refineries already ongoing? Or is it too early to say?
Sotirios J. Vahaviolos: Definitely ongoing. That's why we're optimistic for the future.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then I just wanted to dig into the international side a bit more. I think, for the last several quarters, you've talked about some level of restructuring. You've had to manage headcount there a little bit. Are the changes that you've made there done now? And how distracting have the changes that you've made been to that organization? In other words, are margins maybe artificially too low over the last couple of quarters as you might -- compared to what you might see in the future, given maybe a more stable organization there?
Sotirios J. Vahaviolos: Yes. We have made a very good start. And of course, we're observing what the numbers are, and we see an improvement in the first quarter. As we have seen more and more improvement, okay, then we'll deal accordingly. We still really have to make some more changes, but they would be a lot minor compared to what we did before.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: Got it. And then just maybe a final question here is on the acquisition market and how you're thinking about that here today, Sotirios. I think in the past, you've alluded to, at least in Europe, that the strategy is that you kind of need to integrate better before you did more. Does that comment still pertain here today? And then just comments maybe broadly on other areas of M&A, if that's higher on your priority list or lower than usual.
Sotirios J. Vahaviolos: Top priority for us right now, Andrew, is really to make sure that we integrate everybody in Europe. We now have -- as I mentioned in my prepared speech, we have already a vice president of business development, so we'd like to integrate that. And acquisition is not really on our horizon. In North America though, we continue to be aggressive as we used to be before on key acquisitions that are really usually plug-ins and fulfill some of the empty spots that we have, the geography that we have around the country.
Operator: The next question comes from the line of Tahira Afzal from KeyBanc Capital Markets.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: This is actually Saagar on for Tahira. First question, your guidance was kept intact. What do you folks need to see to really get the confidence that will lead you to the top end of the range? How's your visibility looking 3 months, 6 months out?
Sotirios J. Vahaviolos: Well, we'd like to see a continuation in improvement in the international, and we like to make sure that the turnaround is not like the beginning of this year, where everybody shifted the turnarounds. So if we really see the improvement continue in the international and basically, as I suggested, the turnaround should be in the way I suggested, I think things will improve on us.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay. And then in the products segment, can you just talk about impact from the U.S. sequester and different competitive dynamics that you're seeing in that marketplace?
Sotirios J. Vahaviolos: Well, the sequester really has -- we have orders that -- we have products that are only sitting on the -- our loading docks, okay, because they cannot pay us. They have the orders but they cannot pay us. And the other thing, also, that I want to tell you on the products, okay, we had also some shifts in the North Sea and in Russia, where, basically, the customer was not ready to accept the systems and the installations. Because we -- in the online monitoring system, we are only producing the product, but we also install it. The customer was not ready. There were delays in the manufacturing of their vessels and pipes, and so there were some delays on that -- on the products that affected this quarter.
Saagar Parikh - KeyBanc Capital Markets Inc., Research Division: Okay. And then last question for me, I know you've mentioned acquisition and acquisition opportunities and what you guys are looking at quite a bit on the call. But what are you seeing in terms of pricing? I know it's something you mentioned on the last call, so just wanted to get an update on what you're seeing quarter-over-quarter.
Sotirios J. Vahaviolos: Price, basically, is always an issue, okay? So I would prefer that I don't discuss that, okay? People know that we're really paying less on private equity, that's all I can say. Okay?
Operator: Your next question comes from the line of Tristan Richardson from D.A. Davidson.
Tristan Richardson - D.A. Davidson & Co., Research Division: Just to dig a little bit deeper on Brazil. I'm curious sort of what you guys are seeing with your major customers down there, prospects for a resumption in spending in that market. What kind of visibility are you seeing there?
Sotirios J. Vahaviolos: Well, Tristan, as you -- some of you have read, when the new president of Petrobras took over, and Petrobras was 50% of our business at that time, took over on August of 2012, the first thing he did is he stopped any development, stop any development, cut services, cut many things, until about June of this year. What we have seen lately, of course, is the resumption of some business. But as I mentioned on my prepared text, it's not really 50% anymore, it's a lot less for us. And we're really very cautiously optimistic that they will continue to do more business with us. And so what we expect overall from Brazil is to really become -- for the company to stop being unprofitable and move, basically, in the profitability column. But that might take a couple of quarters before that.
Tristan Richardson - D.A. Davidson & Co., Research Division: Okay. And then on the product side, just to follow-up on the last question, you talked about some delays that affected the quarter. Now -- and have you seen some of those orders come in subsequently, too? Or is it still sort of a "wait and see" and it might take a few quarters before you see some of these orders materialize?
Sotirios J. Vahaviolos: As I mentioned on the prepared text is that we are seeing some of these do come in. And people are talking -- we have a lot of quotations that we have prepared, and we see a lot of activity on that. But still, we are funded. Like, for instance, the infrastructure area, it's still funded, okay? We are not going to see the orders for the bridge monitor that we think has a lot of potential for us in this stage.
Operator: And the next question comes from the line of Tom Hayes from Thompson Research Group.
Thomas L. Hayes - Thompson Research Group, LLC: Just wanted to dig into the international market a little bit, as far as the outlook. It looks like we're starting to lap some of the positive growth driven by acquisitions. I just wanted to kind of get your thoughts on the outlook for organic growth. It's been running negative for the last couple of quarters. You called out a 16% decline this quarter. What are your thoughts on kind of when we get back to that positive growth rate?
Sotirios J. Vahaviolos: I think our early indications are we're moving in the positive category, but that will show in the second quarter of this year. Early indications are positive.
Thomas L. Hayes - Thompson Research Group, LLC: Okay. I think in the fourth quarter, on the call, you had mentioned some delays in shipments as well, similar to what you called out this quarter. I was just wondering, did some of those delays roll into this quarter and kind of helped with the positive sales growth we saw this quarter.
Sotirios J. Vahaviolos: Well, it will definitely help the U.K. operations, and we hope that it will help the Russian operations. We'll see, really -- but all of that has to be done by -- and delivered to the customer by October 30.
Thomas L. Hayes - Thompson Research Group, LLC: Okay. I guess lastly, you had some positive comments on the Aerospace industry. I was just wondering maybe you could flesh that out a little bit more, your outlook.
Sotirios J. Vahaviolos: Well, advanced composite is really new materials that needs new techniques to be tested, and we have done a very good job, okay? And GMA, for instance, our German subsidiary, is really a prime for Aerospace by Airbus. 50% of their business is in the advanced composites. And we're really leading in that area because, as you know, many -- for many years, metals was really the king in that area, now it's advanced composites. It's new and it requires, as I said, new technologies, new ideas, et cetera. And I think we're in the front with the GMA subsidiary, and that's why we acquired them anyway.
Operator: [Operator Instructions] The next question comes from the line of Andrew Wittmann from Baird.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So I just wanted to dig into some of the onetime issues in the quarter. I guess, Phil, maybe these are for you. Just to be clear on the -- on the gain that was recognized, was that a reversal of a contingent liability, basically, from a previous acquisition that didn't achieve its earn-out?
Philip Orlando: Absolutely correct.
Andrew J. Wittmann - Robert W. Baird & Co. Incorporated, Research Division: So that $2.1 million truly is, is onetime. And then, can you give us any color on any other restructuring charges that may have happened in the business? I'm thinking specifically in Europe. Is there any way to quantify what some of the onetime items there, if any, were?
Philip Orlando: We don't really have that quantified. But I'd have to say that there was really nothing significant in the quarter.
Operator: I would now like to turn the call over to Sotirios for closing remarks.
Sotirios J. Vahaviolos: Okay, I would like to thank everyone for listening to our call, and we wish you all a great day. Thank you.
Operator: Thank you for your participation in today's conference. This concludes the presentation. You may now disconnect.